Operator: Good day and thank you for standing by. Welcome to the Rover, Third Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today’s conference is being recorded. And I would now like to hand the conference over to your speaker today, Mr. Walter Ruddy, Vice President of Investor Relations and Capital Markets. Sir, please go ahead.
Walter Ruddy: Good afternoon. Thank you for joining us to discuss Rover’s third quarter 2023 earnings results. In this call, we will be discussing the results announced in our press release issued today, which is available on our Investor Relations website at investors.rover.com. As a reminder, this call is being webcast live from our Investor Relations website and is being recorded and will be available for replay from there shortly after the call. With me today is Aaron Easterly, Chief Executive Officer and Co-Founder; Brent Turner, President and Chief Operating Officer; and Charlie Wickers, Chief Financial Officer at Rover. Before we begin, I’d like to remind everyone that management will make certain forward-looking statements within the Safe Harbor Provisions of the Securities Litigation Reform Act of 1995. These include future GAAP and non-GAAP financial and operating results, targets and trends, business metric performance and 2023 financial guidance, marketing, product investment and other strategies, anticipated future growth, prospects, margins, profitability and liquidity, expected investments and initiatives and their impact, macroeconomic, public health, pet care industry, residential real-estate and travel expectations, factors and trends, market growth and expansion expectations and opportunities, statements regarding our share repurchase program, and other future events, industry, and market conditions.  Forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results or performance to differ materially from those expressed or implied during the call, including the risks and uncertainties included under risk factors and elsewhere in our most recent Form 10-K and recently filed Form 10-Qs.  All forward-looking statements speak only as of today and are based on current expectations, estimates, forecasts, and projections and the beliefs and assumptions of management. We undertake no duty to update this information unless required by law. You should not place undue reliance on forward-looking statements as they are not guarantees of future performance.  We will also discuss certain non-GAAP financial measures. The most directly comparable GAAP financial measures and historical reconciliations to their most directly comparable GAAP measure can be found in the non-GAAP reconciliation supplement posted under News and Events, Presentations at investors.rover.com. For the reasons discussed in the non-GAAP reconciliation supplement, we have not provided the most directly comparable forward-looking GAAP measure or a reconciliation of any future non-GAAP measures. Non-GAAP financial measures should not be considered as a substitute for or superior to GAAP financial measures. Unless otherwise noted, we will compare all Q3, 2023 metrics to Q3, 2022 in this call.  With that, let's get started. I'll now turn the call over to Aaron Easterly, Co-Founder and CEO. Aaron.
Aaron Easterly: Thanks, Walter, and thank you everyone for joining us today. I will start by discussing our third quarter 2023 earnings results and give a few highlights before turning the call over to Brent to outline our booking performance and investments in marketing and products. Charlie will then wrap the prepared remarks by providing additional detail on the financials and our guidance before we take questions. We had a spectacular third quarter, reporting net income of $10.5 million and adjusted EBITDA of $17.5 million or a 26% margin. On the top line, gross booking value grew to $266 million, revenue increased to $66 million. As a result of our strong performance and reduced expected macro risk in the remainder of 2023, we are again increasing our revenue and adjusted EBITDA guidance for the year.  Beyond these headline results, we continue to build on our priorities. First, we demonstrated continued strong operating leverage in our business with substantial adjusted EBITDA and net income margin expansion. We were able to continue investing in product and marketing while increasing adjusted EBITDA margin from 20% in the prior year to 26% this year.  These results suggest that the lower bound of our long-term adjusted EBITDA margin target should be higher than the 30% that we have previously communicated, and we are evaluating how much to increase it. Second, we achieved record new customer bookings of 290,000, up 8% over last year's record levels. This result outpaced our measure of new business demand by approximately 20 points. Third, our non-U.S. markets had another quarter of strong growth. GBV in Europe grew 71% and 35% in Canada, resulting in our non-U.S. markets representing 10% of the total.  GBV for cat-only bookings continued its tremendous growth, up 134% in Europe and 58% in Canada, reflecting our continued strength with cat parents. Fourth, LTV from customers acquired in Q3 are pacing to all-time records, while the Q1 and Q2 cohorts have continued their record pace. Additionally, last year's cohorts continue to surpass prior years.  And finally, improvements to our product are driving top-line growth. We have continued to roll out more initiatives to help pet parents find their best match. We expect these changes to provide enduring benefits beyond this quarter. As we close out the remainder of the year, our Q3 performance improved outlook is evidence to the engagement we are driving.  While the broader environment remains challenging, with underlying weakness in multiple of the external drivers we track, we are encouraged and optimistic about our future. Our performance over the last two years is a testament to the fundamental power of the business model, our market position, the opportunity to continually improve the platform, and most importantly, the dedication and discipline of our team.  We believe that we are well positioned to further our mission of making it possible for everyone to experience the unconditional love of a pet. Our opportunity for growth is tremendous, with approximately 87 million pet-owning households in the U.S. and a similar amount in Europe, and we are excited about what's to come.  With that, I'll turn over the call to Brent to discuss our bookings and operational performance. 
Brent Turner : Thanks, Aaron, and good afternoon to everyone. I will begin by providing a bit more commentary on our success in driving booking volumes. Then I will discuss the execution of our marketing strategy. Finally, I'll wrap up by highlighting some of our product investments during the quarter.  In Q3, we generated record levels of new and repeat business on the platform. Total bookings increased 20% versus Q3 2022. Repeat bookings were over 1.5 million, a 23% increase year-over-year.  New bookings totaled 290,000, up 8% over our record third quarter in 2022. This new bookings performance is especially encouraging as it represents our highest level and the quarter to-date. It provides further evidence that our product enhancements and marketing efforts are continuing to drive gains in market share.  Turning to marketing, in Q3, non-GAAP marketing expense was 19% of revenue on the lower end of our target range of 18% to 25%. Our growth team was active in Q3 as we launched our latest video ad concept, To My Hooman, a spot that has become a celebrated discussion topic in several online magazines.  This ad is yet another innovation in support of our strategy to cost-effectively drive new bookings and build the category through upper funnel channels. Further, continued maturation of our conversion drivers in our European markets has enabled us to expand our channel beds into up-funnel media channels, as well as helping to further accelerate new customer acquisitions.  Now we'll turn to product investments. In Q3, we continued to execute our strategy of driving new and repeat bookings by improving conversion rates and platform stickiness. First, we were pleased to respond to pet parent feedback by launching a beta version of our Star Sitter program in select markets. This program helps Rover to better identify care providers who provide particularly exemplary experiences.  Second, we addressed the pet parent Pain Point in Europe by rolling out recurring booking functionality. This capability allows them to easily schedule ongoing care for their pets, particularly for daytime services like daycare and dog walking.  Third, we implemented refinements to our scheduling functionality, as well as the Contact More Sitters program. These improvements were in response to customer testing of recent enhancements to both capabilities. In total, we expect these changes to drive approximately 50,000 incremental bookings in 2024.  Importantly, I would like to highlight the product improvement efforts of our operations team. We have recently completed a global implementation of app-based support messaging for both pet parents and care providers, as well as a re-engineering of our self-service center. These improvements are responses to long-standing feedback from our community members who have wanted easier and more context-appropriate ways to contact us for help.  Getting these capabilities to market has required non-trivial preparation and technical development on the part of our team. Adoption of this capability has been very strong, and we expect for it to enable us to accomplish those rarest of double wins, higher customer satisfaction, and improved efficiency at the same time.  I'm proud of our team's accomplishments and momentum, and I look forward to more progress. Our work, though, is never complete, and we continue to test additional product improvements to drive both new and repeat bookings.  Now I'll turn the call over to Charlie to provide detail on our financial performance. 
Charlie Wickers: I’ll start by discussing the quarter, followed by guidance. Rover produced phenomenal financial results during the quarter, including strong revenue growth, substantial net income, and continued adjusted EBITDA margin expansion. Further, as Aaron indicated, this success clearly demonstrates our ability to scale margins and gives us confidence to consider raising the low end of our adjusted EBITDA margin target.  For the quarter, GBV was up 25%, while revenue was up 30% to $66 million. Increase in revenue was primarily driven by three factors. First, approximately two-thirds of the revenue increase was driven by the 20% growth in bookings that have been described.  Second, approximately a fifth of the revenue increase was due to the higher recognized take rate of 23.6%, up from 22.4% a year ago, which benefited from the shift of all U.S. owners to the 11% fee structure and the 90 basis point cancellation rate improvement.  And third, approximately 13% of the revenue increase was driven by higher ABVs of $142, which were up 4% year-over-year. The main driver of ABV growth was an increase in average price per unit of service.  Improvements in take rate and cancellation rate have driven both growth and revenue, as well as an expansion of our margins. In Q3, our non-GAAP contribution margin increased to approximately 82% from 81% in Q3, 2022.  Moving to expenses, we continue to invest in up-funnel marketing through the summer peak season, while managing costs across the business. Beyond the strong revenue performance and contribution margin improvement, the bottom line beat for the quarter was driven by three items. First, continued leverage in operations and support. In Q3, non-GAAP operations and support was 11% of revenue, an improvement from 14% of revenue in Q3, 2022.  Second, efficient marketing investment continues to drive scale in our business. In Q3, we were able to invest in marketing, while keeping our non-GAAP marketing expense as a percentage of revenue in the low end of our target range.  Third, our commitment to managing fixed costs and non-GAAP product development and non-GAAP G&A. Non-GAAP product development was 10.5%, and non-GAAP G&A was 15% of revenue, both decreasing from 11.4% and 19% of revenue, respectively, in Q3 of 2022.  Continue to believe that there are additional investments that will allow us to drive incremental improvement in our current offerings. We believe it is best to sequence our investments and products, only adding additional investments if they were expected to be accretive to our medium-term trajectory. With this approach, our year-over-year incremental margins have continued to demonstrate the high margin leverage potential of Rover, and our ability to generate enduring annual net income.  Moving to an update on our buyback program. Through November 1, we have repurchased a total of 9.1 million shares for an aggregate purchase price of $49 million, nearing the full amount of our authorized program. As of November 1st, our shares outstanding is approximately $179.6 million, a decrease of $4.9 million from year-end 2022.  We are happy with our current cash balance and the multi-year cash generation potential of the business, and we believe that a repurchase of our shares continues to be an effective investment of our capital. Accordingly, our board has authorized an extension of our repurchase program to February of 2025 and refreshed the available capital with an additional $100 million.  Now, turning to guidance. As Aaron discussed, we are excited by our performance as we head in the final few months of the year, and thus are raising our full year 2023 guidance. We continue to see that our performance has outpaced macro headwinds. As a result, the increase in guidance takes into account our overperformance in Q3 and our higher confidence in our ability to execute in the current environment.  Similar to previous guides, we continue to account for potential illness-related impacts, and we are also keeping an eye on pet adoption and spend trends, home sales volumes, and leisure travel trends.  The full year 2023, we now expect revenue of $230 million to $232 million, which at the midpoint would be a 33% increase in revenue over 2022, an adjusted EBITDA of $46 million to $48 million, or a 20% adjusted EBITDA margin at the midpoint.  Fourth quarter, we expect $64 million to $66 million in revenue, which at the midpoint would be a 25% increase in revenue over Q4, 2022, and $17 million to $19 million in adjusted EBITDA or a 28% adjusted EBITDA margin at the midpoint.  In summary, Rover generated fantastic top-line growth, expanded adjusted EBITDA margins, produced net income, all while investing in our products and delivering capital to shareholders. These results are a demonstration of the focus and dedication of the Rover team and our ability to capitalize on the market opportunities. With that, we will now turn to questions. Operator, can you open it up for Q&A? 
Operator: Thank you. [Operator Instructions]. Our first question will come from Ralph Schackart of William Blair. Your line is open. 
Ralph Schackart : Good afternoon. Thanks for taking the question. First question, just on the really strong trends you're seeing in new customer acquisition. But I think on the call, you talked about upper funnel media trends, accelerating the new customer growth. Maybe just a little bit more color on the media strategy. Are you finding more new channels? Are you becoming more efficient, it’s a combination of both? Then I have a follow-up, please. 
Brent Turner : Thanks Ralph. Yeah, I think what we're starting to see is the accumulation of efforts that we've had going for a while. I think we talked in previous calls about how the returns on the upper funnel channels, you get some of it immediately and then you get a lot of it in future months. And because we've had our upper funnel channels not only on, but accelerating or growing at a steady rate, we're starting to kind of see kind of a rolling trend of increasing up-funnel bookings.  We have an internal measure where we try to take a look at what we think the category is doing and then what we think we're doing from a customer acquisition standpoint. And we're staying well ahead of the category. And we think a lot of that is attributable to our momentum with up-funnel channels. Too early to say what the new spot is doing, although very early signals have been positive. 
Ralph Schackart : Great. Maybe just a follow-up, kind of bigger picture. Aaron, I think you talked about just seeing still weakness in the drivers that you track, yet, you are still posting really, really strong growth. Maybe if you just sort of reconcile that as I'm guessing a lot of it is product driven. And then on the weakness in the drivers, are they still at the same level? Are they getting any better on a relative basis? Just any more color and that would be awesome. Thank you. 
Aaron Easterly: Sure. So over the last several years, a lot of focus has been on travel and COVID, because that was kind of the dominating inputs into our business. But the reality has always been a lot more complex. People are more likely to consider a Rover sitter when they make a move and are moving to a place without the same network of friends, family and neighbors.  So the housing market impacts Rover. Interest in pet adoption and kind of what people are willing to spend on their pets are also big factors. And we're seeing that those are starting to matter a little bit more as the travel and COVID environment becomes a little bit steadier. The growth we're seeing is really a testament to how well the business can work, especially as it scales. We believe we have a competitive advantage in what we do. We are by far the largest share player in terms of an online transactional marketplace for pet services, and we have really good word of mouth. So we hope to continue to outgrow category, although all the different factors that contribute to category has become more complicated. 
Ralph Schackart : That's helpful. Thanks Aaron. Thanks Brett. 
Operator: Thank you. One moment, please, for our next question. Our next question will come from the line of Andrew Boone of JMP Securities. Your line is open. 
Andrew Boone: Thanks so much for taking the questions. I wanted to start with repeat bookings. Growth accelerated there in just another strong quarter. In addition to your comments to Ralph's question, is there anything else that you can unpack to help us understand just the strength that you're seeing? 
Aaron Easterly: Sure. Repeat bookings is something that for our business has been kind of up continually year-over-year. If you look pre-COVID, our cohorts just go up every year. And the driving force varies a little bit year-to-year. Sometimes it may be a little bit more on pricing. Sometimes it may be more on bookings per customer, sometimes its better long-term retention, sometimes it's the introduction of new services.  But that's kind of the normal trend we saw pre-pandemic. And so over the last three years, we've just kind of seen a return to the underlying fundamentals of the business around our cohorts.  This quarter specifically, we saw a little bit of an acceleration in the bookings per customer compared to last year on our daytime services. So the bookings per customer was up more year-over-year than the overnight services. It's too early to say whether or not that's a return to work phenomenon, but it's nice to see. Hasn't moved the overall mix that much yet a little bit, but we're seeing that dynamic as well. 
Andrew Boone: That's helpful. And then I wanted to go to long-term margins. Incremental kind of EBITDA margins on revenue was I think 47% this last quarter. You guys have printed something over 40% throughout 2023. Understood it's very early here and you guys may not want to give us that much guidance here, but is that the right way to think about the potential of long-term margins, is kind of look at the 2023 steady state of kind of that 40% plus and then imply from there or how do you guys think about it? 
Charlie Wickers: Hey Andrew. Yeah, last couple of quarters, the incremental margins have been quite strong above 40%. I would say it’s too early for us to provide guidance on this at this time, but it is one of the main reasons why we're looking at adjusting the low end of our long-term adjusted EBITDA guide.  Previously that was set at 30%, but based on the performance this year, the wins that we're getting from the product side, the health that we're getting from new customer growth, as well as the repeat booking dynamic, it's just causing us to take a step back and take a second look at that number, but too early to give you incremental guide beyond that. 
Brent Turner: I'm just adding to Charlie's point. The fact that we felt compelled to bring it up suggests that we believe it's a material change to that lower bound. So we're talking percentage points are more, not basis points. We think that your proposal in terms of looking at the incremental flow-through way is a very good way to think about the incremental flow-through and how that could drive our long-term margins.  When we use the term long-term, we’re typically talk about three to five years. So that's actually the work we're doing right now is kind of saying, ‘hey, what do we think is appropriate range for the three to five-year time frame?’ But if you were to go out longer, yes, we think it could be even higher.
Andrew Boone: Thank you so much. 
Operator: Thank you. One moment, please, for our next question. Our next question will come from Maria Ripps of Canaccord. Your line is open.
Maria Ripps : Great. Good afternoon, and thanks for taking my questions. First, you shared contribution to revenue growth in the quarter, but can you maybe just talk about some of the areas of strength in the quarter versus your internal expectations at the time you provided guidance back in August? And I guess how sustainable some of those factors are heading into Q4? 
Charlie Wickers: Hi, Maria. It's Charlie. I'll take a first shot at that and see if Aaron or Brent want to weigh in. With regards to how we were thinking about the business last quarter, one of the biggest things that was an unknown for us was how the macro was going to play out starting here in Q3 and continuing into Q4. At that time, the best estimates that we had seen externally were regarding a recession with a chance of it hitting in Q4. As we went through the quarter, we just continued to see strength from the business. Not only did our product wins play out, but whatever level of macro disruption there was, we were able to overcome it. And so that contributed quite a bit to the quarterly beat.  With regards to revenue, I walked through those. But with regards to the expense dynamic, we have a pretty good line of sight to our costs. They are controllable. We have a team that is dedicated to staying within the parameters that they have set for themselves within a quarter. So really, the biggest, if you want to call it a surprise, was with regards to the macro, but it was to the positives. 
Maria Ripps : Got it. That's very helpful. And then is there any color you can share in terms of how you're thinking about the level of investment next year? And to what extent is your investment cadence predicated on the macro environment? 
Aaron Easterly: Well, it's worth kind of dividing that a little bit into our investments and product versus marketing. Brent has talked about for several quarters now, our desire to move a little bit more up funnel and to reach more of that friends, family, neighbors segment that we think is our primary TAM opportunity. We expect that to continue. But to Charlie's point, the team is very disciplined about working within the constructs of our unit economic parameters. We don't drive growth for the sake of driving growth. We drive growth because we believe it's profitable growth and a very profitable growth. So we think that that dynamic kind of plays out naturally. In a weaker environment, we'll probably spend less than we otherwise would in a stronger environment, we'll probably spend a little bit more.  With regards to the product side and our investments in new capabilities, we continue to think that we are generally staffed appropriately. We expect to continue to invest heavily into our existing product and make it work better and better and better. But we also expect to continue to experiment in new opportunities to address pet parents' Pain Points, and so there'll be a continued mix of that. For our product investments, we have a longer horizon. So we wouldn't expect to whipsaw that investment around too much based on the ebbs and flows on a quarter-to-quarter basis on the macro. 
Maria Ripps : Got it. That makes sense. Thanks so much for the call and congrats on the strong quarter. 
Aaron Easterly: Thank you. 
Operator: Thank you. [Operator Instructions]. One moment, please, for our next question. Our next question will come from Eric Sheridan of Goldman Sachs. Your line is open. 
Eric Sheridan: Thanks so much for taking the questions. Maybe two if I can. One would be a longer-term one. How do you continue to sort of think about pricing of your services longer term in terms of elasticity and what that might mean for incremental margin or ability to reinvest back in the business over the long term, when you see some of the supply-demand dynamics around the services layer of the platform? That would be number one.  And then you talked a little bit about cancellation rates. I think they're still below sort of pre-COVID levels. Any update on things you're doing to sort of address cancellation rates over the medium to long term, maybe bring them back into sort of a normative state? Thanks.
Brent Turner: Hi, Eric. We believe that the pricing in the marketplace continues to drift up, although not as quickly as it did before. If you look pre-COVID, we generally saw a drift up in the price points that providers charged, both as a function of market maturity as well as developing their own reputation on the platform. That drift up in price has been somewhat counteracted by market mix shifts.  So if we expand more into geographies that are less developed and have lower cost of living, those may have lower price points. But when you look within service lines and within markets, there's a pretty clear drift up.  We do believe that the overall improvement in our cohorts is one of the things that contributes to our confidence in our ability to invest in both marketing and product. It's nice to see the return to normal almost with regards to our cohorts just improving year-over-year. We think part of that improvement gets automatically funneled back into our marketing, because it can increase what we're willing to spend for a new customer without any change to our earn back period or LTV to CAC ratio.  But we can also invest some of it in product as well, which we have a longer term view. But we don't expect the pricing changes to be so material that that would materially change how we're approaching our fixed cost structure. 
Charlie Wickers: Eric, I'll take your question on the cancellation rate. So a couple of quarters ago I brought up a product enhancement that we rolled out and has been burning in with time, and that's what the ability for providers to be flexible or adjust their cancellation rate policies. We've continued to see the adoption of that tick up. About 25% of providers on the platform have now opted in for a three-day cancellation rate policy, a little bit more aggressive. That was up about 400 basis points year-over-year, so that's continuing to burn in.  We also look for other opportunities to make it more known for pet parents as they are looking, whether or not a provider has a higher level of last minute cancellations on their side. So we are doing things to make it more obvious for users of the platform to understand cancellation rate dynamics and we're seeing that play out with time. Here in Q3, we did see some ebbs and flow with regards to illness waves.  But during this quarter, we saw our cancellation rate not be as affected as in the past quarters. So we do see some normalization taking place relative to illness. But we think with time, our cancellation rates could probably continue to drift down. 
Eric Sheridan: Great. Thank you. 
Operator: Thank you. Again, one moment please for our next question. Our next question will come from Tom White with DA Davidson and Company. Your line is open. 
Tom White: Great. Good evening. Thanks for taking my questions. Two, if I could. I guess first, I think there's some comment maybe from you, Aaron, about LTV for customers acquired in the quarter, kind of approaching all-time records. I was hoping you could just kind of unpack some of the drivers there.  And then second, I'm curious about booking windows. One of the big OTAs talked about some expansion of the booking windows on their recent call and seeing kind of a strong pipeline of travel booked kind of in the first quarter.  I'm curious if you guys are seeing kind of similar dynamics as it relates to your booking windows for overnight stays. I wouldn't expect it to be maybe for as far out as kind of the first quarter. But just curious to hear your thoughts on how you're feeling generally about visibility over the next several months. Thanks. 
Aaron Easterly: Hi, Tom. I'll take the first question and then hand it over to Charlie for the second one. The LTVs for this quarter were driven by a couple things. The first is the fact that we've seen some moderation of the cancellation rates. It means that our realized value per customer improves. And we've also seen a minor increase in the bookings per customer on a year-over-year basis if you compare the first nine months of this year versus the nine months of last year. That was a little bit more pronounced in the daytime services.  Historically, the daytime services are capable of much higher frequency than the overnight services. People may take only a handful of trips a year, but if you're using Doggy Daycare, Walking, you can use that a lot more frequently. So the fact that we've seen a little bit higher increase there is also positive. The overall amount of pricing that's driven the LTV expansion this year is probably fair to say, less than the portion that it was last year. 
Charlie Wickers: Hey, Tom. With regards to booking window, there's no major changes in our end to report. Our overnight services continue to be booked about three weeks in advance, and our daytime services continue to be booked about a week in advance. 
Tom White: Okay. Thank you. Appreciate the call. Thanks. 
Operator: Thank you. [Operator Instructions]. Our next question will come from the line of Cory Carpenter of JP Morgan. Your line is open.
Cory Carpenter: Hey, thanks. Maybe one for Charlie and one for you, Aaron. Charlie, could you just talk, did you see any impact to bookings in October around some of the geopolitical events, whether in the U.S. or in Europe or could you just talk about your potential exposure there? And then secondly, on the Bright Horizons partnership, could you just give us an update on how that's going and any lessons learned in terms of maybe partnerships you could go for in the future? Thank you. 
Brent Turner: Hey, Cory. This is Brent. I think I'll take both of those. On the political events, we have not seen anything sort of hit our radar screen in terms of volume impacts that have been noticeable. Anytime there's something that's going on, whether there's a weather event in Florida or there's political events somewhere in the world, sometimes you can see small things, but nothing that is represented a trend or is reportable.  The Bright Horizons partnership, not a lot to report in terms of status. We continue to, the partnership continues to exist. We continue to be proud of them as partners, and we continue to acquire and reacquire customers through that partnership.  We do – there are themes around for us that have emerged around the occasion, which the Rover offer is surfaced and also the audiences that we're getting in front of that we think we can learn from, but in terms of the application of those to other partnerships, nothing to report yet. 
Cory Carpenter: Thank you. 
Operator: Thank you. I am seeing no further questions in the queue. I would now like to turn the conference back to the CEO, Aaron Easterly for closing remarks. 
Aaron Easterly : Thank you all for joining our call today. We are pleased with the performance of the business this quarter, and we are really excited about what's to come. Have a wonderful day, everyone.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect, and have a pleasant day!